Operator: Good day everyone. Welcome to the Diebold Inc first quarter financial results conference call. At this time for opening remarks and introductions, I would like to turn the call over to the Vice President and Chief Communications Officer, Mr. John Kristoff. Please go ahead, sir.
John Kristoff: Thank you Brandy. Good morning and thank you for joining us for Diebold's first-quarter conference call. Joining me today are Tom Swidarski, President and CEO; and Brad Richardson, Executive Vice President and CFO. Just a few notes before we get started. In addition to the earnings release, we've provided a supplementary presentation on the investor page of our website. Tom and Brad will be walking through this presentation as part of their comments today, and we encourage you to follow along. Before we discuss our results, as with past calls, it's important to note that we have restructuring in our financials. We believe that excluding these items gives an indication of the company's baseline operational performance. As a result, many of the remarks this morning will focus on non-GAAP financial information. For a reconciliation of our GAAP to non-GAAP numbers, please refer to the supplemental material at the end of the presentation. In addition, all results of operations reported today, including prior periods exclude discontinued operations. And finally, a replay of this conference call will be available later today from our website. And as a reminder, some of the comments today may be considered forward-looking statements. Internal and/or external factors could significantly impact actual results. As a precaution, please refer to the more detailed risk factors that have previously been filed with the SEC. Now, with opening remarks, I will turn it over to Tom.
Tom Swidarski: Thank you John and good morning everyone. Thanks for joining our call today. We delivered record-setting first-quarter earnings per share performance and the strength we saw in the fourth quarter continued into 2012. We grew total revenue 14% during the quarter with a 21% increase in Financial Self-service. Once again we are seeing exceptionally strong results in North America as demand for deposit automation and integrated services continues to grow. Our leading position in the marketplace as well as the market we created for integrated services positions us well to capitalize on the increased investments activity happening in the self-service space. Clearly, we have enhanced our leadership position in the growing North American market and that is a primary component of the outstanding results we announced today. Additionally, our EMEA operation contributed to the growth in earnings with a significant year-over-year reduction in first-quarter losses as we continue to benefit from our restructuring efforts. And we reduced our operating expenses as a percent of revenue from the prior-year period. Finally our results were also positively affected by accelerated ATM installations related to the March deadline for ADA requirements. We anticipate that some ADA related activity will continue through the middle portion of the year and will begin to trail off by yearend. So given the strong start to the year and the continued underlying strength in our markets we have increased confidence in our ability to generate sustainable growth. Therefore we are raising our full-year outlook for both revenue and earnings. As we look at the balance of 2012 I'm encouraged by our strong growth in Financial Self-service as our integrated services offerings continue to build momentum in the market. The total value of integrated services contracts we signed in the first quarter in North America alone approached $80 million, an increase of about 60% from the prior-year period. One example of the growing momentum in the IS space is Denali Alaskan Federal credit union, taking the responsive service from a single point of contact Denali selected Diebold to replace its sleet of about 50 ATMs, most of which will now have deposit automation and provide a variety of integrated services. Denali is highly representative of the nearly 300 customers who outsource key elements of their operations to Diebold during the quarter. This speaks to our unique innovative solutions that are highly valued in the regional bank segment as well as the trough these customers have placed in our capabilities. As we have communicated for many years, services are the key ingredient to our competitive differentiation and long-term value creation. The IS agreement with TD we discussed during our previous call exemplifies the critical need of banks of all sizes to focus on the co-operations. And our work with TD is evidence that we have built the infrastructure and competencies that handle the largest and most sophisticated global banks, from our knowledge of our customers' business processes to the breadth of our service organization and our growing electronic and logical security capabilities. We remain very optimistic about the scope of the potential of integrated service business. We continue to innovate and build off the initial success we have had in the space in Brazil and bring this expertise to key regions around the globe, all while capitalizing on the improved market environment in North America. Now let's take a closer look at our performance on a regional basis. In North America, demand for products and services remains very strong. First-quarter revenue in the region increased more than 30% with very strong Financial Self-service growth primarily offset by an anticipated decline in securities. As I mentioned earlier in my comments we saw continued strong demand for deposit automation, integrated services and replacement activity associated with ADA compliance. All these factors drove financial self-service product orders growth even higher than the impressive rate we experienced in the first quarter of 2011 and is indicative of the continuing strength in the market. Customers continue to adopt deposit automation technology at a healthy rate. Total deposit automation shipments in North America increased nearly 300% during the quarter with similar growth in both national and regional accounts. Finally as I mentioned earlier, we saw a significant growth in our integrated services contracts during the quarter. We expect the underlying growth factors of the market beyond ADA compliance to continue to be strong for the remainder of the year. Our strong competitive standing especially in the regional bank segment positions us well to capitalize on growing investment in Financial Self-service technologies in North America. In summary, we remain very optimistic regarding the State of the North America Financial Self-service market and our ability to grow our leadership in the region. Looking at our security business. Revenue decreased 6% during the quarter in line with our expectations. However product orders grew and I'm encouraged by the increased sales activity particularly in the profitable regional bank security market. And we remain confident in our adoption of an industry-leading integrated services offering in security. For instance, during the quarter we booked more than 4 million in security IS contracts. In April alone, we booked new IS contracts in excess of that number. So the pipeline for additional integrated services opportunities continues to grow. You may recall that when our Financial Self-service IS business began about five years ago, we saw a similar modest contract value early on. And last year we signed more than $0.5 billion dollars in new contracts. We believe we have a compelling case on outsourcing model similar to what we have built in our ATM business. In addition to the growth and potential integrated services represents we also see opportunities for small bolt-on acquisitions as a means to position this business for long-term growth going forward. We've made significant progress in transforming our security business leveraging our capabilities and integration, riding our solution set and re-engineering our sales strategy and remain confident in our ability to generate growth in the second half of the year. As such we are maintaining our security revenue guidance for the full year. Moving to EMEA, first quarter revenue dropped 9% as we continue to execute on our strategy to restructure our business to be smaller, more profitable entity. Macroeconomic issues are still negatively impacting portions of the region particularly Spain and Italy which we believe will remain challenged through 2012. However we are seeing strength in other areas within the region including certain markets in Africa and parts of Western Europe. In addition, EMEA's restructuring program contributed to our overall improvement in earnings during the quarter. We were able to cut our loss position by about two-thirds compared with the prior year period on lower revenue. Also in EMEA, many customers are beginning to adopt Opteva Flex Performance Series of ATMs as we booked several orders for Flex during the quarter. This enhances our competitive position in certain key markets where deposit automation is taking hold. The Flex Series enables financial institutions to transform the way they manage cash at the ATM, improve efficiency and decrease costs and minimize the administrative burden for the personnel. Given our proven results in EMEA, I have growing confidence that we will achieve modest profit in the region for the full-year. In Latin America including Brazil, revenue decreased about 10% during the quarter due mainly to timing of business. However, orders in the region doubled from the prior year period. While we saw strength in orders from Latin America, the majority of the overall increase came from Brazil as we booked the previously announced order for 3,800 ATMs for Caixa Econômica Federal, the second largest bank in Brazil. We continue to feel confident with our market leading position in Brazil and our ability to win a number of other opportunities as we progress throughout the year. Looking to the rest of Latin America, the market remains very active. During the quarter, Peru, Columbia and Central America were particularly strong in terms of winning new business. In Peru, we won a major seven year IS contract which includes 200 ATMs, first and second line maintenance and ATM availability management with OpteView Resolve. In Columbia, we had a significant security win with a large oil company. In summary, we continue to maintain solid leadership throughout Latin America and Brazil and are well positioned to capture significant amount of growth expecting to occur there in 2012. Moving on to Asia Pacific, revenue increased nearly 50% in the first quarter. A large portion of the growth was driven by China where timing of the customer business and a relatively easy, comparable to the prior year period led to a higher than normal growth in the region. We also saw substantial growth in other areas of the region. In Thailand, we expanded our market leadership with several key wins, and in India we continued to grow our integrated services business at in impressive rate, which led to a significant overall review in that country. We’re continuing our strategy to invest in building of sustainable services model throughout Asia Pacific to help ensure a long-term competitive position. Diebold hardware market remains competitive in Asia. We are excited about our progress in expanding our services portfolio throughout the region. Looking at our expectations for full-year, we continue to be optimistic considering the positive activity in our key markets and our ability to deliver in those markets, especially North America, Latin America and Brazil. In addition to the significantly positive mix shift in North America, the operational improvements we have put into practice over the past several years enabled us to go through higher, incremental operating margin on our revenue growth. Therefore, we expect improvement in both revenue and earnings from our previous guidance. Now we project total revenue growth of 7% to 10% on the expectation that financial self service will grow 10% to 13%. And we expect to deliver earnings per share of $2.50 and $2.70 per share. So to summarize, I continue to feel extremely confident in the direction we’re heading. Our strong first quarter positioned us well for the remainder of the year and is reflective of the market leading role we enjoyed through out the Americas. Our restructuring efforts in EMEA are having a meaningful impact on our overall profitability and we have limited exposure to the macroeconomic challenges specific to areas within that region. We anticipate that we will continue to see improved result in EMEA for the balance of the year. And we continue to make inroads in the security integrated services space. Finally, our strategy to leverage our capabilities in services software and innovation is beginning to pay dividends and is meeting the needs of our rapidly evolving markets. The success we are seeing with our overall integrated services portfolio is a proof that our vision to evolve to a software-led services business is working. I have no doubt in our ability to deliver in 2012 and beyond. The investments we are making go well beyond innovations and hardware development. Areas we are pioneering in our industry such as virtualization, 4G and mobile are much more dependent on our growing software and services capabilities and infrastructure. These investments will help us build a more sustainable business model in terms of our competitive advantage, profitability and top line growth. And the immediate need for financial institutions to optimize the retail banking channels and wisely invest their capital does tell perfectly into this strategy. With that, I will turn the call over to Brad.
Brad Richardson: Thank you, Tom, and good morning everyone. Before I get into our quarterly financial results in 2012 outlook, I would like to touch on a few key outcomes from the quarter. As Tom said, we delivered an outstanding first quarter performance. The results were driven mainly by our strong performance in North America where we hold a leading position. The strong first quarter results are evidenced we are delivering on the key growth strategies we shared during our Analyst Day in February. These include transforming to a software-led services company, leading deposit automation adoption, growing our electronic security business and pursuing opportunities in emerging markets globally. Moving forward, our strong balance sheet and free cash flow will continue to support our growth in these areas. Also contributing to improved performance is the success of our restructuring efforts in EMEA. Last year, we eliminated $15 million from our cost structure in this region. As an example of the progress we’ve made, the gross margin as a percent of revenue doubled in EMEA in the first quarter. As Tom said earlier, we are encouraged and have confidence that we will be able to achieve modest profit in EMEA for the full-year 2012 despite the economic headwinds in this region. Now to review our financial results. Turning to slide 15, total revenue was about $700 million, up 14% from the first quarter of 2011 with a 2% negative currency impact mainly driven by the Brazilian Real. This represents the highest first quarter revenue in the company’s history. For the quarter, service revenue increased 9% and product revenue increased 21% with strong growth in the financial self service especially in North America and Asia Pacific. Looking at our financial self service business on slide 16, first quarter revenue was $561 million, an increase of 21%. As Tom mentioned, we saw a strong demand in North America for deposit automation and accelerated ATM installations related to the March deadline for ADA requirements for ATMs. In the security business on slide 17, first quarter revenue was a $135 million, a decrease of 6%. As we have shared with you, the strategy for the security business is to focus on growing our electronic security sales in the financial industry. The opportunities in this space continue to grow especially in the regional bank space and our integrated service business within the space is gaining traction with two meaningful wins in the quarter. We remain confident the security business will generate growth in the second half of 2012. Turning now to slide 18, the total gross margin for the quarter increased 2.3 percentage points from 2011. Service gross margin for the quarter was up 1.9 percentage points. This increase is a result of a mix shift towards higher value-added services, leverage due to installation growth in North America and continued productivity improvements. Product gross margin for the quarter was up 2.7 percentage points. This improvement is a result of a strong regional bank mix in North America and improved profitability in EMEA. Moving on to non-GAAP operating expense. As highlighted on slide 19, in the first quarter operating expense was down 1.6 percentage points due to operating leverage on higher revenue. We continue to focus on controlling cost through our Smart Business 300 Program and we are executing on plans to improve our IT and global services cost structure. In 2012, we expect the full year operating expense to be in the 18.5% to 19% range. Now to slide 20; non-GAAP operating margin for the first quarter increased to 8.2% from 4.3% in 2011. This increase is largely due to the strong performance in North America, predominantly in the regional bank space as well as improved profitability in EMEA. We anticipate the full year operating margin to be in the mid 7% range. Turning to the EPS reconciliation table on slide 21, non-GAAP EPS moved from $0.23 per share in the first quarter of 2011 to $0.74 per share in the current quarter. Our non-GAAP tax rate moved considerably from 39.6% in 2011 to 23.1% in 2012. The higher tax rate in the first quarter of last year was due to losses in certain European jurisdictions with no associated tax benefit and discreet items. Our full year EPS guidance still assumes a non-GAAP tax rate of around 28%. Turning to slide 22, free cash use for the first quarter 2012 was $38.3 million compared with the free cash use of $101 million in 2011. Free cash flow improved $63 million from the first quarter. With the solid improvement, we also believe our free cash flow seasonality would be more balanced in the prior year that we still anticipate a strong fourth quarter. We are raising our free cash flow estimate by $20 million to around $170 million for the year. Slide 23 highlight the progress we’ve been making on our Cash Conversion Cycle. This is an area where we put continuous focus and efforts. In the first quarter, we saw considerable improvement in our Cash Conversion Cycle from 89 days to 77 days. This was achieved through significant process work to improve our overall collection activities and payment terms with our suppliers and we expect an improvement in the full year as well. Inventory remains a meaningful opportunity for improvement. Looking at slides 24 and 25; days sales outstanding to improved by four days from the prior year to 48 which was our lowest first quarter ever DSO. Inventories were essentially unchanged during the quarter versus the prior year quarter. Moving next to liquidity and net debt on slide 26; we finished the quarter in a net debt position of $46.6 million, a reduction of $39 million from the net debt position at March 31, 2011. I would like to highlight another key area regarding our liquidity and financial stability, our pension funding status. At December 31, 2011 we were 82% funded on the projected benefit obligation and at the end of the first quarter of 2012, we moved to 86% funding. While we are not required to provide additional funding plan, we contributed $12 million in the first quarter. In summary, our financial position provides us the flexibility to reinvest back in the business for growth. In our full year outlook for 2012 as shown on slide 27, we expect revenue to increase 7% to 10% up from the previous guidance of 3% to 6% with all the growth coming from financial self-service. Security and elections and lottery revenue expectations remain unchanged. We expect our full year 2012 non-GAAP EPS to be in the range of $2.50 to $2.70 per share, up from the prior guidance of $2.30 to $2.50 per share. At a constant tax rate of 28%, this represents a 13% to 22% EPS growth, off of a 7% to 10% growth in revenue versus the prior year. Clearly, we expect to pull-through higher margins from our revenue growth as we leverage our operations. From a seasonality perspective, we expect our revenues for the second half of the year to have a higher mix of business from lower margin international region and North American national accounts. As a result, we expect earnings per share to be more evenly distributed for the remainder of the year as opposed to the historical seasonality that is typically back end loaded. In closing, I am very encouraged by our first quarter results. The strong performance has successfully aligned us with the strategies and operating targets within our financial framework. Our revenue target for 2012 actually puts us above our long-term financial framework and we are close to our long-term target of 15% return on capital employed with work still needed on our operating margin. Our core strategies are aimed at generating higher recurring revenue that creates sustainable results overtime that fit within our financial framework. In addition to our solid planning and execution process, the strength of our markets throughout the Americas particularly in North America and Brazil are providing the catalyst for our growth expectations. On the operational side, we have realized benefits from our restructuring efforts in EMEA, and finally our strong balance sheet and solid free cash flow performance provides us with leverage we need to deliver on our commitments throughout the remainder of the year. With that, I’ll turn the call back to John.
John Kristoff: Thanks Brad. Brandy, we’re prepared to take our first question.
Operator: (Operator Instructions) We will go first to Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: A question on EMEA; I am assuming all the benefit that at EMEA were Europe and I wonder if you could just talk about maybe the losses you incurred last quarter versus this quarter; just to get an idea of the level of benefit you achieved from that and how well this restructuring actually is going.
Brad Richardson: So Kartik, the way I'd do it is the incremental difference between last year and this year was about $7 million to $8 million operating profit and I would look at that kind of in two buckets. Half would be associated with the restructuring efforts that were underway and half would be what I would call operational improvements, though while we are pleased with kind of the movement quarter-over-quarter we still clearly have a lot of work to do, but it certainly puts us on the path to as we've communicated to get us to a moderate profitability this year with the EMEA region.
Kartik Mehta - Northcoast Research: And then I am assuming the revenue decline in EMEA is related to the countries in Europe where you are not emphasizing and I am wondering if that's actually accurate and two, in the countries where you do want to have a bigger stake, how well that's going and maybe what the fundamentals are for those countries?
Tom Swidarski: Okay, yeah, I would say that is accurate. Clearly we've gotten out of countries both from a direct and indirect standpoint mainly through the distributor, so you do lose revenue in that regard, but again our whole goal as we stated is really profitability, returning to profitability and focusing in. Relative to the countries that we've got a lot of focus on well you would say like a South Africa, you would say a Saudi Arabia and parts of Middle East, to France, to Belgium, UK, feel very good about the progress taking place, you feel good about the kind of infrastructure that's being built to create some sustainability there and which is why we think that profitability is achievable this year and then we move from there, but first things first.
Kartik Mehta - Northcoast Research: And then just last question Tom on the US ATM market, is there anyway you can talk about maybe the percentage of revenue that you are getting right now from regional banks versus what you are getting maybe a year ago just to give a sense of what the real strength in that market is.
Tom Swidarski: Yeah. This I would say in this quarter if we look at the first quarter it was probably close to a 70:30 mix you'd say 70% regionals, 30% what we'd call kind of a national group. Last year, the comparable number was probably close to the 50:50 or 55:45, so significant ramp up relative to the regionals which I think you’ve seen flow through.
Operator: And we will go next to Matt Summerville with KeyBanc.
Matt Summerville - KeyBanc: A couple of questions Brad, I apologize towards the end of your prepared remarks, I missed your comment on seasonality, I believe either in terms of margins or revenue and I just want to make sure we’re clear as you guys have been willing to talk about it before how much of your EPS, do you feel will be frontend loaded versus backend unloaded as we think about the ADA and other dynamics you’ve walked through on your call.
Brad Richardson: Yeah, Matt let me just cover my prepared remarks again. Again what we said is, again given the ADA performance in the strong regional market that we had here in the first quarter. And the fact that the revenue growth that we’re expecting for the rest of the year is coming from you know the lower margin on the international side of the business as well as national accounts. We now expect kind of the earnings profile if you will to be about 50:50, about half of the earnings generated in the first half and about half in the second half.
Matt Summerville - KeyBanc: So I guess I tied that into incremental margins. In Q1 they came in I think on an operating basis comfortably north of 30% which is very, very strong. What do you think going forward in your business, given kind of a more normalized mix going forward, it sounds like as well as layering in there, the executional and operational improvements you have made in Europe, what is the right kind of incremental margin for this company going forward, Brad?
Brad Richardson: Well, I think the overall margin, you are talking about the incremental margins are kind of probably in. It really does depend upon the mix, I have to say. And what I would point you to is, as you look at what we have guided to in terms of the overall operating margin performance for the rest of the year. You know again we did 8.2 in the first quarter and we are expecting kind of mid-7s for the full year, that will give you an indication that again there is a negative mix effect coming as a result of again that the national accounts as well as the international locations.
Matt Summerville - KeyBanc: And then Tom, I was hoping you could just spend to my last question, I was hoping you could just spend a minute talking about Latin America, specifically Brazil in the RFP activity you are seeing there. You started out the year with a negative revenue comp talking about seeing nice growth in the region for the year, mentioning [Kaisha] have you seen that RFP come through or get awarded yet from TAL and I guess in context to the competitive environment down there, are there any other big RFP opportunities that have arisen?
Tom Swidarski: Matt, let me kind of start at the holistic level Latin America and Brazil and then we can may be go further into Brazil, we feel really good about what we are seeing in the outlying quarters, both on the revenue and order entry standpoint, so there is a number of, I would call healthy activity there and the good news for us is not just a couple of large ones, there is just a lot of activity on the fronts from the Latin America standpoint. And we feel well positioned there and our outlook is I think pretty strong for the full year from an order entry and a revenue standpoint. So I was not unduly worried relative to the first quarter in terms of revenue as I mentioned in my prepared remarks, our order entry in the first quarter is about double where it was last year. So again a lot of these have to do with timing on certain things, but we see good visibility there. Relative to Brazil, much as we have always said you know we are in a very fortunate position in Brazil. I am not in a position to talk about specific banks but I can tell with all of those banks we are well positioned and are looking forward to being able to provide a whole host of services to the players there. In some of their cases you know we have been able to first begin arrangements relative to the service side of the business. So we have begun to provide some services to folks, we haven’t been able to do that before and I think in terms of the order opportunity and being able to recognize that revenue that well that maybe later this year or next year I think. In either case we feel very confident and them valuing our skill sets and feeling like we are positioned there for the long term. So I feel good about the entire region and as always feel very strong in terms of our position in Brazil.
Operator: And we will go next to Gil Luria with Wedbush Securities.
Gil Luria - Wedbush Securities: First of all on the managed services you had another strong signings quarter. In terms of your pipeline going forward, how many, are you starting to see more large bank institutions, look at the TD win and then their early success in getting into your pipeline and looking at managed services as an option for them?
Tom Swidarski: Yeah Gil, I would say that there were clearly a number of folks looking at various pieces of that. Certainly the TD announcement and the stats that TD has in the industry, it carries a lot of weight to it. I think maybe the biggest benefit that maybe our share on the phone really has to do on the security side and that again one of the things that they have talked a lot about had to do with the security capabilities and so as such we have found several, what I would call national kinds of banks, one of the top 25 banks in serious conversations with us on the security side of their business, so whether that's outsourcing, the monitoring capabilities or prudential management, but all around the logical security space we are seeing a lot of activity and I attribute a lot of that to kind of the continuous growth in IS in terms of the ATM business. And then the other piece of that would be the fact that we are in with so many regional banks now in the IS standpoint, in terms of Integrated Services and the mentality of what we have been able to do on the ATM side, the movement into the security piece has picked up some momentum there. So I see a lot of momentum on both the large and the small and for us that's a very good thing, because again, it looks like in the TD case, the one I referenced on the phone we have hundreds of those and most tend to be five to seven year kind of contracts, so these are very good for us. They get a chance to really understand our capabilities and we get a chance to really solve fundamental business issues rather than going through kind of procurement type activities year-after-year with a lot of these players.
Gil Luria - Wedbush Securities: And is this a part of where you get the confidence for turning security into growth in the second half of the year? The comparable don't get that much easier and you’ve had declines there for a few quarters now; is it these types of deals in the pipeline that you are going to need to win in order to turn security back to growth?
Tom Swidarski: Yeah, I would say Gil, we look at it, we separate the physical security from electronic security and the numbers we are guiding to include both. Though again, what you know maybe it’s not as apparent when you see the overall number is what’s happening underneath the overall numbers. So physical security in terms of vaults and [boxes] as we’ve said repeatedly that side of the business clearly is not going to return to growth. But I think after the second quarter we feel like its going to hit a plateau and the electronic securities side, we have significant opportunities relatively electronics security side in terms of not only the pipeline in terms of orders that maybe we’re close to, but also in terms of the ability to implement those. So we feel very good in terms of the electronic security side of the business and we see the visibility there. And then probably the last piece is the infrastructure changes we made on the security front are paying dividends as well. And that I mean, we put in place a dedicated team of IS security experts, much like we did with ATMs five years ago and the good news for us is people understand what we’re doing, they get it, because they see it on the ATMs and our folks they are learning curve, you know, much further of the learning curve. So we now have the right personnel with the right technical capabilities out talking about it and we continue to introduce kind of innovative things for the security side of the business. And so as such we feel very good about the guidance that are on the revenue side.
Operator: And we will go next to Zahid Siddique with Gabelli & Company.
Zahid Siddique - Gabelli & Company: A couple of questions. First one, on the orders, can you quantify orders, the ATM orders by region; I think you touched on Latin America orders doubling, but in general you know what kind of orders did you see in Q1 within ATM?
Tom Swidarski: Yeah, on the ATM side, when you look at that on a global basis, we’re up probably in neighborhood of 30% plus. So significant order activity kind of across the board. Certainly, Latin America is kind of is an enormous number when you double it, but double digits consistently across the board. So again, we feel good about that in every region. And then if you would say, how does that compare or if you look at just the product piece of that because that includes other pieces, it would be up significantly beyond that. So we feel very good about order entry flow within each region and specifically when you look at the product piece of that, that’s even a bigger number.
Zahid Siddique - Gabelli & Company: And knowing that you are guiding to operating margins of about 7.5%. I think Q1 you were 8% plus, is that because of the lower mix that you touched on the international and the national banks?
Tom Swidarski: Yeah, I think that’s a big piece of it. Also the one piece that comes along with a lot of installations and especially with the regional banks in the US, you get lot of additional professional services pull-through, so the second half of the year we won’t get as much of that. The other piece would be that in the second half of the year, you are going to see security in United States again taking a bigger roll on the front end and their product margins aren’t going to be as good as those self-service margins. So when you mix that together, we see us for the full year guiding in the mid-seven’s range.
Zahid Siddique - Gabelli & Company: And last question on share buybacks, what is the, how many shares did you buyback and what’s the strategy looking into 2012 and ‘13?
Brad Richardson: Yeah Zahid, we did not buyback any shares in the quarter. As you know, we do have a standing authorization that’s been provided by the Board. As we have said in February, our plans are to be optimistic in terms of execution against that buyback program. So I can’t give any further guidance than that.
Operator: And we’ll go over next to Paul Coster with JPMorgan.
Paul Coster - JPMorgan: Clearly things are going quite well here in North America and you’ve talked about leading market share. I realize it’s a very big market and very fragmented, but are you in a position to approximate your share of the market and whether you believe you are gaining or losing at the moment?
Tom Swidarski: Paul, I would say we probably don’t spend a lot of time on that; I mean for us market share is about units, I mean we are so much more beyond units. But if you look at the revenue growth, you would say, our revenue growth compared to everything else, if you look at our order growth, I am still very confident to say we’ve expanded on leading position. And when we look at the number of units we have under contract, generally we have for the US bank installed base about 50% or 57% of that. So for us that’s about the right number, and again for us the whole point of Integrated Services is a unit in the past you basically revenue it a box. But the future for us is all about the Integrated Services. The additional revenue we get off of that and monitoring it, the intelligence we apply to that so we’re hoping that we’re actually going to be continue to grow the pie and for us that’s very good news.
Paul Coster - JPMorgan: Okay, I get your point regarding Integrated Services; however, just going to the hardware side for a moment equation, are we starting to see shorter upgrade cycles and if so why?
Tom Swidarski: I would say, you absolutely will see shorter upgrade cycles and it began as a result of kind of the biggest banks in United States beginning to move to deposit automation, before that you saw them moving to software platforms that are Microsoft based and you see the complexity of the software stack to as such you know historically you know when I first began, the operating cycles were 15 years and then you saw them kind of inching down to 12 to 10 and I think we are going to get below that going forward everywhere in the world including the US. But because the technology is moving so fast right now, the reliability or such are so important and the functionality one is no longer just a cash dispenser. Now you are handling so many more additional transactions that can replace what's happening in the teller line. Those replacement cycles are clearly moving up and again I think the big banks will kind of blaze that trail, but as you see with deposit automation that deposit automation has gone down to credit unions and every small bank, everywhere and once they are on that kind of technology platform, they need to move more quickly to keep it relevant.
Paul Coster - JPMorgan: Okay, my last question, I may have missed this earlier on, but the mix shift goes back in favor of national accounts in the second half of the year, is that because of a strong pipeline relating to them or is it because the regional and local starts to fall off a little bit.
Tom Swidarski: Yeah, we have a significant pipeline on the nationals but when you look at kind of the growth underneath the regionals you can see that as you get to the middle part of the year, the level of activity on the ADA side is going to slow considerably because the mandate was in March, you know there's a lot of folks that still aren't there. So you figure, second quarter you are still going to have a lot of that activity and then as you go forward, then it's the matter of deposit automation and integrated services carrying us forward. So you would have some slowing naturally there with the regionals, but you also have the growing on the national side, so it’s the combination of those two yields, kind of the overall answer for North America.
Operator: (Operator Instructions) We will take a follow-up from Matt Summerville with KeyBanc.
Matt Summerville - KeyBanc: Hey just a couple of more follow-ups. Tom can you spend a few more minutes talking about Asia Pacific in terms of what your expectation is for the region in terms of unit volume growth versus what you are seeing again in general, regionally in terms of price degradation and maybe just spend a minute talking about what countries other than China are particularly good maybe others that aren’t as strong?
Tom Swidarski: Yeah and Matt let me try and answer that, if I don’t get the whole thing of what you are looking for you know kind of remind me. But when I look at the entire region, clearly the big drivers for us are China, India, Thailand few of the ASEAN countries and than occasionally you would have Australia. Australia has a mix of security to it, whereas the rest really are pretty much on the self-service front. So Thailand for instance is a big country and that we get a lot of services revenue from there on top of just the kind of a hardware framework. China you know as you know it's very hardware centric. We are all working pretty hard I think from an industry standpoint to get them more services oriented but that’s going to be long haul, but we see that they are beginning to come as we got a couple of banks now beginning to work through on the IS front. Certainly the landscape in Asia remains very competitive, pricing you know in Asia or China in particular is very aggressive. But we feel like we’re in pretty good shape there, given kind of our footprint and given our service infrastructure in those regions. In India in particular you'd say with kind of the growth in managed services we think we’re well positioned. Certainly the government is going to [recap] it in terms of the natural evolution of what’s occurring. There is a happening there that will play up this year to give us better insights there, but we expect kind of year-over-year to be some slight growth, but you know nothing significant one way or the other.
Matt Summerville - KeyBanc: And just getting back to the comment on security acquisitions, I think in Brad’s prepared remarks, can you talk about on average what we can expect in terms of size, are these $50 million companies, 25, a 150 million and I guess what kind of multiples you are seeing out there in the market place. I would assume you have talked about adding resources in the area of M&A. I would assume at this point you have some visibility in the pipeline, so can you give more color on that?
Tom Swidarski: Yeah, Matt I would say the two things. First of all, let me answer the question a little more broadly that we are not discounting, doing things in the self-service space either. So you know if there is a small acquisition that can help us in a country or in a region, we are going to do that on our self-service front to bring you know our service capabilities of the snuff, may be in some of the international markets or technology that we need to help us further do things in a region or differentiate ourselves. When we look specifically at security, certainly security would kind of be the same kind of things. These would be bolt-on small acquisitions, 10, 15, $20 million, $25 million kind of acquisitions that give us may be capabilities that we don’t have today or enhance our business model or give us the technology and that would really be kind of the driver. We are not looking at anything. You know you mentioned a 100 million and 150 million, we are not anywhere near that kind of level relative to the security space.
Brad Richardson: And Matt, you know your question on multiples and without getting specific to the exact multiples, what I would say is some of these security, whether there is a very high percent of revenues are recurring, you are going to see a higher multiple and obviously this is what Diebold is transitioning to overtime, is more and more recurring revenue and so again, these type of opportunities have a very high recurring revenue. So therefore we will trade at a higher multiple than where we are today.
Operator: And we will go next to Julio Quinteros with Goldman Sachs.
Roman Leal - Goldman Sachs: Hi, it’s actually Roman Leal for Julio. Thanks for taking my question. First I want to give a sense of any patterns you saw in orders during the first quarter and kind of ahead of the ADA deadline. Do you see any noticeable trends between January, Feb and March? I know it has been a little less than a month since that deadline but you know anything you can share as far as orders in April, it will be helpful too?
Tom Swidarski: Well, I would say that we have not seen any meaningful change to the first four months of this year. But certainly our expectation is as you get in the June -- at the June timeframe, when we look back historically with our customers in terms of meeting compliance issues, whether the PCI, ADA name it, you know generally most of it’s leading up to the deadline and then you have those may be of three months late. There are probably a few out there that will be six months late but that’s going to trail off. In terms of the order activity, really you would say over the last 18 months have been exceedingly strong. We have put some charts up previously of how many, I don’t know, we had like three quarters of a 100 plus percent order entry kind of growth. So we are not seeing anything materially different from that. We would just be seeing as you get out and you start comparing to quarter that are up 100% -- 180% from the year before, if we hold our own against those, we feel really good about it because we don’t have any of the ADA built into those orders that start coming in the second half of the year. But right now all guys as we talk to our folks in the field, both on the ATM front, security front related to banking feel pretty good about it.
Roman Leal - Goldman Sachs: Okay, and on the deposit side automation order growth, that was clearly strong this quarter. Can you remind us how the pricing and margin pressure of that product suite look relative to others?
Tom Swidarski: Yeah. I will try and answer it at a general level but it gets obviously complicated quickly but in essence when we talk deposit automation, it can have multiple functions to it. So clearly, the cash dispenser is a piece in everyone. Then you start having variations there. We have the ability to give somebody single note acceptor or a bulk note acceptor. Then we also have the ability to give them a single cash acceptor, accepting cash in or a bulk cash in, but depending on the variety that you are talking about there, you've got a pretty big swing in terms of, kind of, the price points and then we've introduced the Flex Series, the ability to have a recycling module in there as well. So now you've introduced a very high-end, much more expensive type of device but are able to handle cash in and return that cash out if someone turns that piece on. So you've got, in those cases you are talking about maybe two times or two and a half times of what a cost of an ATM is. And then along with that, you would have a higher service contracts or maybe the service contracts and additional $1,000 or something like that depending upon the combination. So for us, its certainly more revenue but the flip side is the reliability and availability becomes more important because if it’s not running well, then you are out servicing that unit. So, we are very aware of the impact of any new technology on the service organization, and again we work pretty hard to keep that lean and efficient and again that's where the piece of OpteView Resolve, which we've introduced in the market to be able to intelligently understand what's happening to a communication with devices, becomes more important. And that's where virtualization and 4G starts coming in. It will give us runway long-term. So that's a long way of saying that the technology continues to advance and back to Paul’s question, as people move down this path the upgrade cycle moves in. The maintenance contract goes up, the cost to service goes up and thus the technology of doing that remotely is important. So we’re looking closely as we’ve always said, our bell whether indicator is our service margin, because that includes both service and services. So we watch that very closely, we’re hoping to continue to improve that and drive that up through these remote tools that we have in place. But it’s in the mix that people use in every region of the world slightly different, but every region of the world is engaged in some of aspect that deposit automation story I just talked about.
Roman Leal - Goldman Sachs: And one last question from me, as you see the different trends, so you have the bank mix, regional Oracle has been pretty strong. Do you think that shifts a little bit later on this year; you’re going to end the year at mid 7% op margins. How does this trends that you’re looking at now, affect your confidence around that 10% op margin long-term target?
Tom Swidarski: Very good question. So for us, that’s something that we talk about it everyone of our leadership meeting in terms of our long-term financial pillars that Brad was talking about before. There are a number of things that have to happen to get us to 10%, but I guess the way I would answer it kind of on a call like this is, we feel good about our ability this gives us continued confidence of getting there. We have to do other things, you know, we have to get better leverage, we need more revenue growth, you know, we need to meet the performance at certain level, but as we add up there are various pieces of that, we see a path to get there and that’s we’re trying to hold us accountable too. So we think this is going to be the sure big step in the right direction, but you’ve got to execute; it’s easy to say it’s hard to execute against and there is a lot of moving pieces and parts out there. So we feel more confident today that we did maybe two years ago. And I am hoping at the end of the year, we’ll feel even more confident, but let us put this year on the board and then make sure that’s the right step to the long-term goals.
Operator: And we’ll go next to Zahid Siddique with Gabelli & Company.
Zahid Siddique - Gabelli & Company: Hi again, just a couple of follow-ups, would you be able to quantify the ADA revenues?
Tom Swidarski: Zahid, I wish we could, but we can’t. The issue you have is with when people are placing order there is no kind of designation that it’s ADA. So we get a deposit automation order, sometimes they are upgrading for ADA as well. So as such part of IS, the Integrated Services contract that run up there has to do with ADA, some of it doesn’t, some deposit automation has to do with ADA, some of it doesn’t. But we certainly think based on kind of our framework that the vast majority of ADA and the full run we had in the first quarter and the frenzied activity in the first quarter which led to the record revenue had to do with certainly ADA. We expect a strong second quarter and we would expect that the rest of the year that ADA impact start to lessen significantly and then as we go into 2013 that will be really any ADA related upgrades as well.
Zahid Siddique - Gabelli & Company: And finally, I guess looking out next several years, what is going to be the next transformational product? Banks have gone through the deposit automation, check processing; regionals have done it, national’s have done it. So what’s next, what excites the next over the next few years?
Tom Swidarski: I think a couple of things are placed in that. One is the whole branch transformation that is needed to take the cost out of the structure for the banking environment. And by that, I mean the day we sell a terminal and so do other folks, that helps the teller; it’s teller automation. So what they are looking for is really the replacement of the teller and these new technologies that we’ve now introduced can really replace what the bank branch is doing in a significant manner. So I think the whole branch transformation piece is really going to give us the opportunity to take what we’ve done with the ATM over all the years and learned and now applied inside that banking environment and again remotely monitor and manage that thing like an ATM because we don’t do that any other device in that environment. And so, when you think about that and you think about the number of branches around the world or in the United States, 110,000 you look at the average branch with three to 10 tellers, you’ve got the opportunity to talk about 100,000 plus devices doing things that the teller used to do at a much lower cost point which really begins to transform their cost structure and allow them to compete given what their face in the marketplace. And so that then would be the number one thing I would say banks would look at transformation-ally to really transform their environment.
Operator: And at this time, there are no further questions in queue. I would like to turn the call back to our speakers for additional or closing remarks.
Tom Swidarski: Thank you Brandy and thank you for joining us for this morning’s call. As always, if you have additional or follow-up questions, please feel free to contact me directly or Kristoff. Thanks.
Operator: And this concludes today’s conference. We thank you for your participation.